Operator: Good day and thank you for standing by. Welcome to Lundin Mining First Quarter 2022 Results Call and Webcast. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session.  I would now like to hand the conference over to your first speaker today, Peter Rockandel, President and CEO. Please go ahead, sir.
Peter Rockandel: Thank you, operator. And thank you, everyone, for joining Lundin Mining’s first quarter 2022 results call. I will draw your attention to the cautionary statements on Slide 2, as we will be making several forward-looking comments throughout the prepared remarks and likely during the Q&A as well. On the call to assist me with the presentation and answer questions are Jinhee Magie, our Senior Vice President and Chief Financial Officer; and Peter Richardson, our Senior Vice President and Chief Operating Officer. Safety is the foremost of our values along with respect, integrity and excellence. We hold health and safety is our top priority in everything we do with our goal being Zero Harm. We will continue to pursue this goal and truly believe that all work related injuries are preventable. Unfortunately, there was a fatal accident at our Neves-Corvo operation in the first quarter. We continue to support the family and our colleagues at Neves-Corvo, and initial safety lessons learned have been shared across our other sites. I would like to recognize and thank our employees and contractors for their dedication to our strong safety culture, work safe, home safe. Progressing our efforts for responsible mining, we had begun the accreditation process for our largest mine Candelaria to the Copper Mark. The Copper Mark is the leading assurance framework promoting responsible production of copper. Our mission statement says copper is vital to society. And in our view, its role in the transition to a low carbon economy cannot be overstated. Our participation in the Copper Mark will provide further assurance to our customers and are many stakeholders that we are living up to our commitments of response to mining. I will now turn the call over to Jinhee to review our financial results.
Jinhee Magie: Thank you, Peter. Moving to Slide 5. In aggregate our operations performed well during the quarter. Copper and gold production exceeded the prior year quarter, while zinc production was in-line and nickel production was lower though ahead of plan. We produced nearly 110,000 tons of base metals and approximately 34,000 ounces of gold. We also sold over 100,000 tons of base metals and approximate 36,000 ounces of gold on a payable basis, generating revenue of nearly $1 billion for the quarter. We remain predominantly leverage to copper with metal generating nearly 70% of the first quarter’s revenue, zinc and nickel both contributed 11% better than the prior year quarter on increase realized prices. Slide 6 presents a summary of our first quarter 2022 financial results compared to the same quarter last year. We benefited from significantly higher base metal prices in the first quarter of this year compared to the first quarter of last year. We realized the copper price of $4.94 per pound, which includes a $0.25 per pound of prior period adjustments. The overall impact on first quarter revenue from the selling of prior period sales was nearly $50 million, with a large portion attributable to copper settlements. Prior period price adjustments for zinc, nickel and gold were also all positive, and details of these adjustments are in our MD&A. First quarter revenue approaching $1 billion and was 45% about that of the same quarter last year, primarily due to higher metal prices and price adjustments. Attributable net earnings were $0.47 per share and adjusted earnings were $0.40 per share for substantially higher than same quarter last year and new quarterly records. You’ll find details of these adjustments broken down in our MD&A. We generated adjusted EBITDA of nearly $590 million in cash flow from operations of nearly $320 million. Adjusted operating cash flow before changes in non-cash working capital items was over $470 million or $0.64 per share. Capital expenditures on a cash basis were $145 million in the first quarter. Capital expenditures at Eagle, Neves-Corvo and Zinkgruvan, all tracking well to annual guidance. Candelaria and Chapada capital expenditures are trending above annual guidance given inflationary cost increases on capitalized stripping, including diesel, explosives and other consumables. We generated over $185 million of free cash flow in the quarter. Lundin Mining is in a very strong financial position with cash and equivalents approaching $735 million at quarter end and a net cash position of over $700 million. Further, as announced earlier this week, our current undrawn revolving credit facility has been increased to $1.75 billion. This low cost facility will help us maintain significant financial liquidity and flexibility as we look towards the development of Josemaria and our other growth projects. Lastly, our Board of Directors declared a regular quarterly dividend yesterday of CAD$0.09 per share. We believe a regular quarterly dividend is sustainable throughout the metal price cycle and considers our sustaining and growth capital requirements. I will now turn the call back to Peter.
Peter Rockandel: Thank you, Jinhee. We’re excited to have announced the closing of our acquisition of Josemaria Resources earlier this morning. With the addition of the Josemaria project, we solidify our position as a leading base metal producer with high quality copper exposure and material growth. Earlier this month, that project received approval of its environmental social impact assessments in the San Juan Mining Authority. This was a significant milestone in the project development and a testament to the hard work of many. We continue to progress the project to the next stages including working with authorities and discussions on commercial agreements and additional sectoral permits. Our aim is to complete an updated technical report in the fourth quarter of this year. Study work is ongoing and includes an update of cost estimates to better reflect current conditions, as well as potential scope changes including the possibility of a fourth line. While this work is ongoing, we expect initial capital expenditure of the project to be greater than $4 billion. Ahead of the sanctioning decision, we intend to spend up to $300 million to reach a project construction decision in the second half of 2022. Areas of spend will include long-lead procurement, basic engineering and pre-construction activities. We’re very excited to be leading the development of the Josemaria project and to be building upon the excellent reputation of Josemaria resources in San Juan and Argentina for the benefit of all stakeholders. I will now turn the call over to Peter Richardson to speak to our operations.
Peter Richardson: Thank you, Peter. Starting with Candelaria on Slide 8, the operation had a strong first quarter, producing the plan and delivering over 39,500 tons of copper, and approximately 22,000 ounces of gold at a cash cost of $1.58 per pound. Candelaria responded well to the new challenges of fast spreading COVID variants. The operations saw the greatest number of COVID-related absences in the first quarter since the onset of the pandemic, as we continue to adhere to precautionary quarantine and other measures necessary to protect the safety of the workforce and the communities. These absences and fleet availability impacted our overall mining rates on the quarter. So we’re tracking well to achieve our production guidance. From the open pit, ore mining is continuing primarily from Phase 10 pushback with ore production from Phase 11 pushback starting later in the year. Copper cash cost of $1.58 per pound was in line with guidance and better than prior year quarter due mainly to positive FX effects and higher sales volume. Consistent with many other miners have indicated so far this reporting season. Candelaria saw increased costs for energy and consumables during the first quarter. So with Candelaria, these were offset by positive FX impacts and higher sales volumes. Candelaria’s forecast cash cost remains in-line with annual guidance, with expected inflationary impacts on consumables being largely offset by production volumes and by-product metal prices. Candelaria’s first quarter capital expenditures were approximately $85 million. Capitalized waste stripping, which was estimated at $180 million in the November 2021 outlook is turning about the annual guidance given the inflationary cost increases on diesel explosives and other consumables. On the growth and exploration front, the initiatives to debottleneck the Candelaria plant pebble crushing circuit advancing as planned to increase mill capacity starting in 2023. Construction work on the new pebble hopper bin is to start mid this year. Study work evaluating expansion of the north and south sector underground mines from the current 14,000 tonnes per day to 26,000 tonnes has been finalized. The study indicates a technically and financially robust project. And we will be looking to update the royalty and taxation assumptions ahead of a decision to advance the project once there’s greater clarity. Lastly, we completed over 5,000 meters of the plan, 54,000 meters of drilling and $15 million for the year. Most of this is focusing on growing and upgrading underground resources where we have demonstrated success in the past. Moving to Chapada on Slide 9. Chapada pays difficult operating commissions in the first quarter, which the team managed well under circumstances, producing over 10,000 tons of copper, and 12,000 ounces of gold at a cash cost of $1.82 per pound of copper. Production of both metal were lower than planned as mining activities and the release of fresh ore were impacted by abnormally high rainfall and COVID-related absences. While we consider the impact of a typical rain season in our plants, the record rainfall and greatest level COVID-related absences of the pandemic, both directly and indirectly necessitated a greater portion of the mill feed to be sourced from stockpile to keep the processing plant operating at full capacity. We continue to expect production to be weighted to the second half of the year owing to the grade profile and seasonal operating conditions. Opportunities to increase waste stripping to improve ore availability and production over the remainder of the year are being evaluated and actioned, as production is currently tracking below the annual production guidance. Copper cash costs was higher than the comparable quarter of 2021 largely attributable to inflationary increases on energy, mine consumables and contractor costs partially offset by higher sales volume. Chapada’s forecast copper cash cost is trending above annual guidance considering the impact of inflation on prices of consumables, the strengthening of the Brazilian real and forecasts production volumes. Chapada’s first quarter capital expenditures were approximately $50 million. Capitalized waste stripping, which was estimated at $20 million in the November 2021 outlook is trending above the annual guidance given the inflationary cost increase on mining consumables. On the exploration and expansionary front, we continue to make progress with our studies evaluating potential expansion of the current processing plant to approximately 32 million tonnes per annum. This work is expected to be completed later this year. Our exploration drilling was ahead of plan in the first quarter with over 15,000 meters completed, including two-thirds of these completed and 27 holes on the Saúva discovery. Moving to the next slide. With assay results as we see the first quarter that Saúva mineralized area footprint has now increased to approximately 1,000 meters by 750 meters from 750 meters by 650 meters at the time of the discovery announcement in mid-February. The system continues to remain open in all directions. The assay results presented on this slide have been received as the discovery press release. Through mid-April, nearly 23,200 meters have been completed in 70 holes with 46 assays received. There are now 5 real rigs testing areas to the north and south of the discovery area. This slide shows the location of the completed hole where assay results are pending as well as planned hole. We are aggressively and methodically drilling the sector as part of the $10 million exploration program outline for Chapada this year. We continue to be very excited about this discovery and believe it supports our view that many opportunities exist to increase the size and the quality of our mineral resource base at Chapada. The potential implications, this high grade system may have for our ongoing expansion studies will be evaluated at Saúva and this area continues to evolve with drilling. Moving to Eagle on Slide 10. Eagle had another robust quarter producing nearly 4,300 tonnes of nickel and over 4,400 tons of copper at a first quartile cash costs of a negative $1.25 per pound on nickel. Production of copper and nickel are trending at high end of guidance, with production of both to be modestly weighted to the second half of the year on grade profile. Realizing a cash cost of negative $1.25 per pound on nickel in the first quarter, Eagle’s cash costs is trending positively compared to the annual guidance with inflationary impacts on operating costs being largely offset by production volumes and proper by-product metal prices. With minimal capital expenditure roughly $5 million in the first quarter, Eagle continues to generate significant cash. Moving to Eagle’s exploration and growth on Slide 12. As previously disclosed, internal study work indicates that the Upper Keel zone seen undertake figure on this slide is technically and financially feasible. We will be incorporating this zone into our 2023 life-of-mine plan is subsequent mineral R&R estimates update. As envisioned, we’re aiming to develop this area in 2023 with initial ore production in the first half of 2024. We are continuing internal study work on the Lower Keel zone, which are lower grades than the Upper Keel zone is even closer to the existing gap infrastructure. The 2022 drill program, which is testing extension targets primarily off Eagle East has already produced results that will easily pay off for itself. Programs first quarter drilling has extended Eagle East semi-massive sulphide by roughly 57-80 meters to the east as seen on the inset of this slide. The underground drill program is being increased to 4 rigs, which will test exploration area roughly indicated around the most mineral Gabbro shown. Moving to Neves-Corvo on Slide 13, the operation produced over 9,800 tons of copper, 14,700 tons of zinc and nearly 800 tons of lead at a cash cost of $1.70 per pound of copper in the first quarter. The primary production equipment of the Zinc expansion project were all commissioned in the quarter starting in mid-February, remaining ZEP work is progressing on schedule and on budget. Our copper production is expected to be modestly weighted to the first half of the year, given the copper grade profile, zinc production is to be second half weighted as production from ZEP is ramped up over the course of the year, both copper and zinc production are unplanned and tracking well to achieve annual guidance. Neves-Corvo cash cost of $1.70 per pound was lower than that of the corresponding prior year quarter. Higher costs of consumables, particularly electricity were more than offset by higher sales volumes and by-product credits given the zinc price. Forecast cash costs remain in-line with annual guidance with expected inflationary impacts on consumables being largely offset by production volumes and by-products metal prices. This year we intend to initially feasibility study level work evaluating the potential to develop Semblana copper deposit and improve the copper production profile, having purchased the outstanding interest in this deposit late last year. In the first quarter, we completed over 7,700 meters of exploration drilling, with the main focus on Zambujal East extension towards Semblana deposit and Monte Branco orebody. Lastly, on the operational front. Zinkgruvan continued to perform very well, producing over 17,600 tonnes of zinc, nearly 1,200 tons of copper and over 6,700 tons of lead at a cash cost of $0.27 per pound of zinc. Zinc production is to be weighted to the second half of the year as feed grades increase over the course of the year based on the planned mine sequencing. Zinkgruvan’s forecast cash cost remain in-line with the annual guidance with expected inflation and impacts on consumables being largely offset by production volumes and by-product metal prices. On growth, our board has recently approved the sequential flotation project to further improve concentrate grades and metal recovery rates. It is a relatively minimal capital expenditure project on the order of $15 million with high IRR and quick payback period. We expect it to increase Zinkgruvan’s zinc and lead production by roughly 2,000 tonnes per year starting later next year. Exploration efforts continue this year with a primary focus on increasing mineral resources at Dalby and between Burkland and Nygruvan. Over 4,400 meters were completed in the first quarter, 20,000 meters of drilling is planned as part of the 2022 exploration program. With that, I’ll turn the call over back to Peter.
Peter Rockandel: Thank you, Peter. In conclusion, our operations performed well in the first quarter, particularly as we adapted to new challenges of the fast spreading COVID variants of many of our operations and significant rainfall in Brazil. We are tracking above the midpoint of our annual guidance ranges for copper, zinc and nickel. The gold production is currently trading at the lower end. At Chapada, we are evaluating opportunities to increase waste stripping to improve ore availability and the production over the remainder of the year, however, we are currently tracking below guidance. As many of our peers have also indicated, we experienced inflationary pressures on energy, fuel, contractor costs and consumables in the first quarter. We’ve implemented procurement strategies to mitigate the impact of this, and for most of our operations, they have been offset by production volumes and by-product credits. The capital expenditures at Eagle, Neves-Corvo, and Zinkgruvan are all tracking well to annual guidance. Our Candelaria and Chapada are tracking above with inflationary cost increases on capitalized stripping, diesel and explosives. We were able to take advantage of the strong base metal environment and deliver positive financial results. This is highlighted by the adjusted EBITDA of nearly $590 million, adjusted operating cash flow of nearly $475 million and record quarterly earnings per share. Lastly, on growth, we are excited to now have the Josemaria project under our portfolio. Exploration at Chapada’s Saúva continue to deliver impressive results expanding the mineralized footprint and we’re working to include the Upper Keel zone in Eagle into next year’s updated life-of-mine plan with the aim of first ore in 2024. With these and other growth opportunities at each of our assets, we are well positioned to deliver on our strategy. And with that operator, I would like to open the line for questions.
Operator: Thank you.  Your first question comes from line up Greg Barnes from TD Securities. Your line is now open.
Greg Barnes: Thank you. Peter, I just want to talk about Josemaria and how do you plan to move forward with the project, particularly given its scale. What are you going to do regarding EPCM? Are you going to bring in the   to build this for you in effect?
Peter Rockandel: Thanks, Greg. So right now what we’re doing, we’re progressing towards a production decision in Q4. We’ve been working very, very closely with the Josemaria team, our team and Fluor, and we are reviewing a number of different options. We’ve also got another well known group that will be doing a third-party review. And what you specifically asked for will be part and parcel of that entire review. So it’s an ongoing process right now, but it has been quite fulsome, and we’ve been spending a lot of time with the Fluor team on that specific area. We do believe as it stands right now, Greg, there’s a very solid team that had been put together at Josemaria that certainly has the capabilities to build this. I recognize it’s a large project. But they have built a number of similar size projects globally in the past. So there is a long history there.
Greg Barnes: You are going to have an EPCM style agreement on this, I would think.
Peter Rockandel: That will be the likely route. Yes.
Greg Barnes: Okay. Thank you.
Operator: Your next question comes from the line of Orest Wowkodaw from Scotiabank. Your line is now open.
Orest Wowkodaw: Hi, good morning. I appreciate the update on Josemaria, just so quickly after closing here. I’m just curious you’ve disclosed that you expect the initial CapEx to be greater than $4 billion? Does that reflect just a recasting based on inflationary pressures and based on the original Josemaria study? Or does that already include potential scope changes that you were mentioning earlier?
Peter Rockandel: That’s a good question, Orest. So, obviously, we had done our own due diligence was reflected numbers similar to what we’re coding, in addition to that we have factored in today’s inflationary impacts, if you will. So the team has been looking at specific pricing right now and taking that into consideration. But we are also looking at some potential changes from the scoping perspective. We are looking at changes the crushing capacity, potentially the power line. And as mentioned, I think, it relates to possibility of additional fourth line. So these are all areas where we’re doing current trade off studies. And that’s why, we’re running with a specific number out just right now, but we are trying to provide a level of guidance. So it is a combination.
Orest Wowkodaw: Combination. Okay. Thank you for that color. And then just you mentioned also in your disclosure that you’re seeing upside pressure on CapEx specifically at Candelaria and Chapada. Can you give us an idea of how significant that could be, say, maybe a percentage increase or just want to get a bit of flavor on sort of what you’re seeing?
Peter Rockandel: Yeah. Jinhee, do you want to answer?
Jinhee Magie: Sure. We are seeing some inflationary increases, we are looking to do additional capital deferred stripping at Candelaria and Chapada needs really, it’s difficult to kind of give, I guess, an overall guidance on what we think that increase is going to be. But if we look at some of the input factors on the cost that we’re seeing in general, so for example, we’re seeing increases in diesel, electricity, labor contract cost. So I think, generally, kind of – I don’t know in the 10% range, I think would be a reasonable estimate at this time.
Orest Wowkodaw: Thank you.
Peter Rockandel: Any other question, Orest?
Operator: Yes. Our next question comes from the line of Daniel Major from UBS. Your line is now open.
Daniel Major: Yeah, thanks. A couple of questions, just first one, just to be clear on the $300 million of additional spend associated with Josemaria this year, that would mean that your group CapEx guidance effectively moves from $650 to $950. That’s in terms of what you will consolidate in the cash flow statement. Is that correct?
Jinhee Magie: Yes. Yes. Sorry. That is what we would expect in the cash flow. Correct.
Daniel Major: Great. Thanks. And then second question on Josemaria, again, I mean, there’s quite a big sort of short-term CapEx and cash commitment before that the economics and particularly the stability agreement in Argentina is finalized. Can you give us any updates on the process of stability agreement, particularly with respect to capital controls, and some of the challenges that other operators have in taking cash out of the country without a large discount?
Peter Rockandel: Yeah. So the Josemaria team has spent a lot of time obviously in the country, I’ve been down in Argentina as well for a period of time. I think, our relationships with the government are extremely strong, and they’re very supportive of the project. So with that, they have agreed to a tax stability agreement, where we’re allowed to keep 60% of all our proceeds outside of the country, we are just finalizing some of the terms on that. But that would be an increase from the previous number, which was 20%. So that’s very positive. And there are a few other things that we’re currently reviewing right now. And one of which is the potential changes of taxation where it’s more of a sliding scale. I’m sorry, what was the third question? Or does that answer both your questions?
Daniel Major: Yeah, that was basis – but just to follow-up on that slightly, so in terms of the discussions you’re having with the government, this set per discussion on the effective tax rate, but also the ability to take cash out of the country and currently your agreement and so you can take 60% of the proceeds out of the country? Is that the right read on it?
Peter Rockandel: Well, they actually stay out. So it’s we would bring back is a better way of looking at it the 40% back into the country.
Daniel Major: Okay. Okay. Very good. Yeah, that’s it from me for now. Thanks.
Peter Rockandel: Thank you.
Operator: Our next question comes from the line of Ioannis Masvoulas from Morgan Stanley. You may now proceed with your question.
Ioannis Masvoulas: Hello, good morning, and thanks for taking my questions. 2 left from my side. The first on Chapada, you mentioned that cash costs are trading above annual guidance, which I believe it’s $1.60. If we look at Q1, you delivered $1.82. Is that Q1 level our estimate for the year? Or will inflationary pressures intensifying, hence, even the Q1 figure is a bit optimistic? And I’ll stop here. Thank you.
Jinhee Magie: Yes, I would say there is possibility that it could be higher we are experiencing, like you said, the inflationary pressures and also with our production right now kind of trending below guidance that is going to have an impact on the cash cost for the year.
Ioannis Masvoulas: Okay. Understood. Thank you for that. And the second question on Chile. If we look at the royalty bill that you mentioned, it seems that the government is considering a broader tax reform that could include royalty bill. Do you have any sense whether that scenario could play out? And what could it mean for timing? Could this process to be due to the second half of the year or even next year? Or would you expect the decision on this in the next few months? Thank you.
Peter Rockandel: I would say, it’s very hard to predict that right now. I mean, the new royalty tax bill is sitting with the Senate. My understanding is they’re waiting to see what comes out from the constitutional convention. But many of the proposals that have already come forward have been rejected, so very hard to predict. But it does seem that things are moving arguably a bit slower than initially anticipated. But I’m also hearing that a lot of things that are being put forward are in a much more tempered manner. So hard for anyone to have a crystal ball, but it does seem to be moving slower. But I guess the positive news as well as the – as I say, the term has seemed to be dialing back to a more realistic level as well.
Ioannis Masvoulas: Great. Thank you.
Peter Rockandel: My pleasure.
Operator: Our next question comes from Bryce Adams from CIBC Capital Markets. Your line is now open.
Bryce Adams: Yes. Thanks, Peter. Maybe a follow on to Orest’s question on Josemaria CapEx. I was going to ask on scope versus inflation. But the follow-on question is, I think, it’s interesting that you’ve put out a $4 billion Fluor in the CapEx, but left the upside open. What do you think a potential ceiling might be for the CapEx estimate? Could it be $4.5 billion or $5 billion, or you think both of those numbers are overstating the CapEx?
Peter Rockandel: Yeah. This is obviously a big discussion over here, because we wanted to give some form of guidance, but it was difficult to do given we still are requiring a lot of information. We do think, as I said, it’s going to start with a Fluor, I mean, hypothetically, could come in lower than that. But, I think, that’s a number that we’re comfortable stating right now. And it’s hard to put the upper end in, because some of those things, as I said, are potential scope changes, which aren’t necessarily things that we would have to do. They would only be things that we would do if it hands the economics of the project. So, I think, we’ll stick with what we’ve provided for the moment as soon as we can give you guys better clarity will most certainly be doing it. And, I really look forward to when we have the exact numbers, we’ll give a very thorough presentation from the project team on how the spend is occurring and the timeline, et cetera.
Bryce Adams: Okay, thanks. I appreciate the extra color there.
Peter Rockandel: No problem.
Operator:  We have a follow-up question from the line of Orest Wowkodaw from Scotiabank. Your line is now open.
Orest Wowkodaw: Thank you for the follow-up. Just a couple of questions on Candelaria. We did see throughput decline quarter-over-quarter, just wondering if you can give us an update on sort of what’s happening there on both the ore hardness issues and the throughput, but also just what’s happening with the grade dilution issue that was spoken about last year. Thank you.
Peter Richardson: Do you want me to answer it?
Peter Rockandel: Why don’t you go for that, Peter? Thank you.
Peter Richardson: Yeah, so production in Q1 has gone according to plan. So, we’ve sourced all the ore from the open pit from Phase 10, so that has been according to plan. So throughput has come in basically on plan. The discrepancy that we don’t mention it, the discrepancy this quarter, but it’s well aligned within the industry norms. So all the work that we put in second half of last year, is proving to help us there and that has improved our ore discrepancy, month to month. So we’re in a good place there.
Orest Wowkodaw: So is that issue now on the grade issue? Is that now essentially behind you? Like was the conclusion that it was more of a sort of a labor scale issue and it’s not like you’ve already ruled out the other issue? Or…
Peter Richardson: I was still working on it, because we still feel that there’s room to improve further. But it’s a combination of things. So it’s operational control. But there’s also some physical changes that we have made both to planning, to the way we operate our stockpile, our sampling systems as well. So it has improved a lot, but we’re still working on to improve it further. Thank you.
Operator: Our next question comes from the line of Dalton Baretto from Canaccord. Your line is now open.
Dalton Baretto: Thanks. Good morning, everybody. Peter, I wanted to stick with Josemaria here and maybe talk a little bit about some of the scope changes you’re contemplating. And I’m just wondering, are these scope changes specific to the Josemaria project? Or are you looking at over sizing some of the infrastructure to maybe capitalize on some of the synergies with Filo?
Peter Rockandel: Well, I would say, yeah, there’s specific to scope changes, but there is a possibility that the Josemaria deposit will be bigger than we anticipated. And with that, we’re reviewing whether we tried to bring some of those years forward. So, it could be for the benefit of the Josemaria deposit itself where we increase the throughput or just setting up some things where there’s maybe a benefit for synergies in the future.
Dalton Baretto: Okay, great. And then, I know, it’s still reasonably early. Have you given any thought to how you’re going to structure the financing for this project and the possibility of bringing in a partner?
Peter Rockandel: We have put a fair bit of thought into that. And you obviously saw the numbers from this quarter, we ended the quarter with a pretty strong cash position. And in these commodity price environments, that cash position continues to be very solid. We also just announced the amendment of our credit agreement and that increases to $1.75 billion. So in the short-term, we do have a lot of financial flexibility. And we think that we have both the skills and the balance sheet to go this by ourselves if we so choose. That being said, we will look at a series of other opportunities that have been presented to us just to ensure we make the right decision for all shareholders.
Dalton Baretto: Thanks. And maybe if I can just pull that a little bit further, if you do go down the partner route? Is it your preference to have a partner with an equity investment at the project level? Would you consider streaming partners as well?
Peter Rockandel: I would say at this time, we would look at all opportunities. I don’t think we’ll narrow it down from that at this stage.
Dalton Baretto: That’s great. Thanks, Peter.
Peter Rockandel: No problem.
Operator: We do have a follow-up question from Daniel Major from UBS. Your line is now open.
Daniel Major: Hi, your questions on the studies around the expansion at Chapada? Or is it fair to assume that the – this will come after the technical study on Josemaria?
Peter Rockandel: I don’t think the 2 are necessarily linked. So we are targeting to have a technical report on the expansion done by Q4, I think, Peter mentioned that during the actual call. And then from that, we’ll look at the timeline for permitting and construction. So I wouldn’t link the 2 together.
Daniel Major: Right.
Peter Rockandel: Does that answer your question?
Operator: Thank you, presenters. There are no questions at this time. I will now turn the call back to Peter Rockandel for the closing remarks.
Peter Rockandel: Thank you, operator. Yes, if there’s no further questions, I want to thank our shareholders for their continued support. It’s been a really, really strong start to the year. We think we have great momentum going forward with our existing operations. And now adding a world class project in Josemaria, we’re set up extremely well to have world class growth going forward. So exciting times ahead, and I appreciate everyone’s support, and we’ll look to update everyone as we move forward. Thank you.
Operator: This concludes today’s conference call. Thank you everyone for participating. You may now disconnect.